Operator: Thank you for joining Packaging Corporation of America's Second Quarter 2025 Earnings Results Conference Call. Your host today will be Mark Kowlzan, Chairman and Chief Executive Officer of PCA. Upon conclusion of his narrative, there will be a question-and- answer session. I will now turn the conference call over to Mr. Kowlzan. Please proceed when you're ready.
Mark W. Kowlzan: Thank you, Joe. Good morning, everyone, and thank you all for participating in Packaging Corporation of America's Second Quarter 2025 Earnings Release Conference Call today. I'm Mark Kowlzan, Chairman and CEO of PCA. And with me on the call today is Tom Hassfurther, President; and Kent Pflederer, our Chief Financial Officer. I'll begin the call with an overview of our second quarter results, and then I'm going to be turning the call over to Tom and Kent, who will provide further details. I'll be then wrapping things up, and then we'll be glad to take questions. Yesterday, we reported second quarter net income of $242 million or $2.67 per share. Excluding the special items, second quarter 2025 net income was $224 million or $2.48 per share compared to the second quarter of 2024 net income of $199 million or $2.20 per share. Second quarter net sales were $2.2 billion in 2025 and $2.1 billion in 2024. Total company EBITDA for the second quarter, excluding special items, was $451 million in 2025 and $404 million in 2024. Second quarter net income included special items income of $0.19 per share, primarily for gains on the sale of real estate for corrugated products facilities that were previously closed which were partially offset by costs relating to the pending acquisition of Greif containerboard business. Details of special items for both the second quarter of 2025 and 2024 were included in the schedules that accompanied our earnings press release. Excluding the special items, the $0.28 per share increase in second quarter 2025 earnings compared to the second quarter of 2024 was driven primarily by higher prices and mix in the Packaging segment for $0.98, lower fiber costs $0.13, higher prices and mix in the Paper segment, $0.04 and a lower tax rate for $0.02. Partially offsetting these improvements were higher operating costs of $0.30 and higher annual outage expenses, $0.21, with the change in the timing of the Filer City outage from later in the year, which we moved up to the second quarter. Other offsetting factors included lower production and export sales volume in the Packaging segment of $0.13, higher depreciation expense $0.10, higher fixed and other expense, $0.09, lower paper segment volume $0.02, higher freight expense, $0.02, and higher interest expense, $0.02. The results were $0.07 above the second quarter guidance of $2.41 per share, primarily due to lower operating costs and lower fiber costs. Looking at the Packaging business. EBITDA, excluding special items in the second quarter of 2025 of $453 million with sales of $2 billion resulted in a margin of 22.6% versus last year's EBITDA of $400 million and sales of $1.9 billion or 21%. Corrugated products price and volume were generally consistent with our expectations, and as expected, export containerboard sales were lower. We ran to demand during the quarter, producing 85,000 fewer tons of containerboard than the second quarter of 2024 and 55,000 tons fewer tons of containerboard in the first quarter of 2025. We drew down 17,000 tons of containerboard inventory from the end of the first quarter, putting us in excellent shape for the rest of the year. We operated exceptionally well during the quarter in all aspects of our business to control our operating costs, helping offset the effects of continued inflationary pressures across our cost structure as well as the negative effects of lower containerboard production. Our employees continue to perform at the highest level, delivering cost and efficiency improvements, outstanding sales performance and capital project execution to deliver best-in-class results. On the strategic front, we're very pleased to have announced our agreement to acquire the Greif containerboard business and look forward to working with our new colleagues in serving our new customers at the highest level. It is a well-capitalized business that complements us nicely, and we will provide -- and will provide us with a very good growth platform for both containerboard and corrugated products. We're targeting completion of the transaction by the end of the third quarter. Subject obviously to customary conditions, including regulatory approval. I'll now turn the call over to Tom, who will provide further details on containerboard sales and corrugated business in general.
Thomas A. Hassfurther: Thanks, Mark. The performance of the Packaging business was largely as we expected, and it was a very strong quarter. We fully realized our earlier announced price increases and domestic containerboard and corrugated products prices and mix were $0.95 per share above the second quarter of 2024 and up $0.41 per share compared to the first quarter of 2025. Export containerboard prices were up $0.03 per share versus last year's second quarter and up $0.01 per share compared to the first quarter of 2025. While customer ordering patterns remain somewhat cautious, corrugated demand remained solid and steady throughout the quarter. Shipments per day in our corrugated products plants were up 1.7% versus last year's very strong second quarter when per day shipments were up more than 9% over the previous year. So it was a pretty tough comparable. Shipments also exceeded the first quarter of 2025. Total shipments were flat with 2024, which had 1 more workday. Our continued sales growth and full realization of our price increases helped drive higher margin performance in the Packaging segment. As expected, outside sales volume of containerboard was down 30,000 tons from the first quarter of 2025 and down 24,000 tons from the second quarter of 2024. While domestic sales have been on plan, even with relatively low exposure to China and Europe, we've seen noticeably lower export sales with the global trade tensions overhanging the market. I'd like to echo Mark's commentary on the pending Greif acquisition. We see tremendous strategic opportunities with the acquired business. In a corrugated network, there will be great potential to expand in areas where we would have needed to deploy considerable additional capital to grow and where Greif has well-capitalized facilities. The business provides a complementary product offering and long-standing customers with deep relationships, who we look forward to serving. Perhaps most importantly, this will be a great cultural fit with PCA particularly with our shared dedication to serving the needs of our customers. I'll now turn it back to Mark.
Mark W. Kowlzan: Thanks, Tom. Looking at the Paper segment, EBITDA, excluding special items in the second quarter was $30 million with sales of $146 million or a 20.8% margin compared to the second quarter of 2024 as EBITDA of $31 million and sales of $150 million or a 20.4% margin. We successfully and safely completed our maintenance outage at the International Falls Mill in June, which affected our volumes. Sales volume was 5% below the second quarter of 2024, and 7% below the first quarter of 2025. We have completed the implementation of our price increases during the quarter with paper prices and mix up 3% from the second quarter of 2024, and 1% from the first quarter of 2025. I'll now turn it over to Kent.
Kent A. Pflederer: Thanks, Mark. Cash provided by operations was $300 million in the quarter, and free cash flow was $130 million. The primary payments of cash during the quarter included capital expenditures of $170 million, dividends of $112 million and federal income tax payments of $109 million. Our quarter end cash balance, including marketable securities, was $956 million with taking into account revolver availability liquidity of approximately $1.3 billion. I'll now turn it back over to Mark.
Mark W. Kowlzan: Thank you, Kent. For our third quarter, profitable volume is going to be the key driver as it will affect our mill production and cost absorption. While we saw corrugated customers remain cautious in June into early July, over the last couple of weeks, we've seen steady improvement with our bookings and shipments as July has progressed, which we expect to continue for the remainder of the quarter. Therefore, we expect higher corrugated shipments, which will deliver higher containerboard production across our mill system. However, we will continue to see lower export containerboard sales driven by the global trade environment. We will build some more inventory ahead of the fourth quarter DeRidder maintenance outage as planned. We expect prices and mix in the Packaging segment to remain relatively flat. In the Paper segment, we expect flat pricing and higher production and sales volume with the completion of the International Falls outage in June, which impacted the second quarter as well as seasonal back-to-school orders. We have no scheduled maintenance outages during the third quarter and expect maintenance outage expense to be lower. Freight costs will be higher with the full effect of the rail rate increases at our mills. Operating costs will be near second quarter levels and fiber costs will be slightly lower. Considering these items, we expect third quarter earnings of $2.80 per share, excluding special items. Our guidance does not include any possible impact on the pending acquisition of the Greif containerboard business, which is subject to satisfaction of certain conditions, including regulatory approval. And with that, we'd be happy to entertain any questions, but I must remind you that some of the statements we've made on the call today constitute forward-looking statements. The statements were based on current estimates, expectations and projections of the company and do involve inherent risks and uncertainties, including the direction of the economy and those identified as risk factors in our annual report on Form 10-K, which is on file with the SEC. Actual results could differ materially from those expressed in the forward-looking statements. And with that, Joe, I'd like to have you go ahead and open up the call, and we'll take questions.
Operator: [Operator Instructions] We will now take our first question from George Staphos with Bank of America.
George Leon Staphos: A couple of questions for me, Mark. First of all, can you or Tom talk a little bit about traditionally, your comment on bookings and billings to start the new quarter? What are you seeing there? And you mentioned that you were better than expected on guidance in the second quarter on operations and fiber costs. And while that gives us some color if you can give us a little bit more detail in terms of what was behind the better performance? And then I have one quick follow-on.
Mark W. Kowlzan: I'll let Tom talk about where we are with cut up.
Thomas A. Hassfurther: Yes, George, bookings right now are trending at 2% over the Q2 of 2024 which is a very good start considering the enormous increase we had in the third quarter of last year. So I remind everybody we've got some very, very tough comps. But interestingly enough, as the last quarter really kind of tailed off a little bit in volume, we're starting out this quarter sequentially. Booking about 10% above what we did in the last month of 2025. So I think things are looking pretty decent.
Mark W. Kowlzan: And George, regarding the second part of your question with the operations, there were two things. One, as you would expect, we operated at extremely high efficiencies, approximately 99% uptime performance across the system. But in fact, if you think about -- that we did run to demand, so we had a couple of smaller machines down during the quarter, one at Filer and one out of Wallula. And so with that, there's obviously the uncertainty about how the operating costs would look. And in fact, the organization executed extremely well, and we're able to really run the mills very efficiently in spite of having some of the operations down for lack of demand. And so we're very pleased with the outcome from the organization's efforts. That's really -- that's what was going on.
George Leon Staphos: Thanks, Mark. The last one for me. When we look at revenue per ton and EBITDA per ton, they were up year-on-year. They're up a little bit versus where we were forecasting, which is neither here nor there. I mean, we should have had a little bit higher forecast. But was that just a function of mix, i.e., there was less external sales because you had pulled back some of -- as you said you took some downtime at Filer, and at Wallula was mix more or less comparable across the box system? Or did you actually see a bit of an uptick? And could you provide us some narrative in terms of the why's and where for us there.
Thomas A. Hassfurther: George, this is Tom. I'll handle this. No, I wouldn't really say it's a function of mix. It's a function of a number of different things. Primarily, if you think about the fact that -- and I'm going to remind everybody what we've talked about many, many times regarding price increases. When we go into price increase mode, we're in total price increase mode that's where we are. And so you're seeing that reflected in the not only the revenue per ton, but also the EBITDA per ton if that's the way you want to measure it, and we're certainly in our margins. So I think any sales that are down, i.e., export, would have helped contribute to that revenue and EBITDA. So when those do come back and we get this -- get some of the global issues behind us, that's a good upside for us.
Operator: Our next question will come from Mike Roxland with Truist.
Michael Andrew Roxland: First question, just wanted to follow-up. You said, it sounded like box shipments sort of stated in June. Wondering what's happened there? Is that a function of the consumers, increasing tariff concerns. I just want to understand how the trajectory of box shipments played out during the quarter. And Tom, you also sort of indicated, I want to make sure I heard this correctly, that bookings are up 10% versus the last month of Q2. If you could clarify that.
Thomas A. Hassfurther: Yes, that's -- they are up 10% versus the last month of Q2 and so we're off to a good start in comparison. And remember, we're running at record volume rates as it is. So you got to keep all that in mind. I think your question around why did it fade a little bit in the second quarter? I think you saw a little bit of that in the first quarter as well. I still think there's a lot of questions around tariffs and what's happened globally and everybody is just kind of waiting for something to -- that they can count on long term. So we've got a lot of customers who are managing their inventories very closely. So we're seeing -- we're seeing some spikes and then some valleys during the quarter in terms of ordering patterns. And I think the other thing is you got to remember that there's -- there's a number of industries that have been quite impacted by just the global economy, the questions in the economy, those sorts of things. And so we've got some areas that are off, some segments that are off, automotive being one, building products being off very highly because of this housing market that's existed that's basically stagnant. And then in the food and beverage area, the salty snacks and the sugary beverages, obviously have been under some duress and that's been in the news at lots of time. So you got some puts and takes here, but we're still advancing and moving forward and feel good about where we are.
Mark W. Kowlzan: One of the indicators that I always look at in that regard, too, is what's our cut-up look like on Friday going into a Saturday period in the last couple of weekends, we've seen a nice movement upward in the volume that's coming out of the plants on Fridays and Saturdays. So that's been again, compared to the month of May into June when things had declined, these last couple of weekends of the first Friday, Saturday periods, we've seen that are really looking really strong.
Michael Andrew Roxland: Got it. Thank you, Mark, for that detail. Just one quick follow-up. In terms of auto being off building products being off, food and bed being off, is that a 2Q phenomenon? Is that something that's been off all year and maybe last year? I'm just wondering if those people and markets have worsened relative to recent times. And then just one quick question on the Greif acquisition. Can you talk about the capital avoidance that you'll be -- or the capital be avoiding spending by acquiring those assets and any initial expectations on FY '26 FX?
Thomas A. Hassfurther: I'll take the -- Mike, I'll take this question. When you ask about automotive and building products in some of these other segments, some have gotten worse. Some have been kind of like that for quite some time. But even in the building products as an example, mean that part of the industry has really struggled for quite some time now as we've said here with these interest rates that some would argue are quite high and haven't quite opened up markets, if you will. So I think there's a tremendous upside for us relative to getting these tariffs behind us and some interest rate movement, which will really catapult us going forward. Obviously, all of our assets are dedicated to America and we'll be the ultimate winner out of this. So I think there's some really good upside for us there. And that kind of leads us into the Greif acquisition as well. So when we talk about capital avoidance, I want to remind everybody, and we've been talking about this for quite some time that the capital intensity in this business is tremendous. And what used to be being able to put a box plant together for $100 million is now closer to $300 million. And mill used to be $300 million on the cheap, and now it's going to cost you every bit of a $1 billion. So things have changed quite dramatically from a capital point of view. And so the number is quite significant for us in terms of capital avoidance with the Greif assets.
Mark W. Kowlzan: The one example is the Dallas Metroplex region. We're currently finishing out a project in Ohio that will start up next summer and then we'd already been looking at what we would be doing down in the Dallas region, which would have entailed more than likely building out a new very large plant down there, similar to what we just did in Arizona, what we're doing in Ohio. And yet with the acquisition with Greif, we've got the platform already sitting there that we can build out with just some converting equipment going into the new plant that Greif has down in Dallas. So that's another example of where we'll avoid some big capital.
Thomas A. Hassfurther: And also, I'd say the Greif integration level is very good. And although it will give us some additional tons, which we will need we can manage that quite elegantly, I think, going forward.
Operator: Our next question will come from Gabe Hajde with Wells Fargo.
Gabrial Shane Hajde: For the avoidance of doubt, I think you said bookings up 2% versus Q2 '24. I presume you meant Q3 '24 and same-day shipments were up 11.5% in that period?
Thomas A. Hassfurther: Yes, I did. I'm sorry, I misstated there. Thank you. Thank you, Gabe.
Gabrial Shane Hajde: No, I wasn't trying to -- I just want to make sure that we're clear, because up 10% versus what could have been a depressed June number, I think, is causing a little bit of confusion for folks. So that's why I asked the question.
Thomas A. Hassfurther: Yes, I was just trying to indicate -- Gabe, I was just trying to indicate that the trend is clearly up from the trend that was taking place in Q2.
Gabrial Shane Hajde: Understood. Anything specific on the Greif acquisition from a financial standpoint, cash tax specifically, that could be advantageous to you on the acquisition?
Mark W. Kowlzan: As far as CapEx?
Gabrial Shane Hajde: No, no,cash taxes, Mark.
Thomas A. Hassfurther: I'm sorry, we couldn't hear you. You're not coming through clearly, Gabe. What was that?
Gabrial Shane Hajde: I apologize. Cash tax.
Thomas A. Hassfurther: Oh, tax.
Gabrial Shane Hajde: Yes. And the Big Beautiful Bill.
Kent A. Pflederer: Okay. So, yes, 2 things there. Yes, Gabe, 2 things, it's Kent. Number one, the acquisition will largely be structured as an asset acquisition, meaning that we will -- we'll get the depreciation shield there. So that's number one. Number two, yes, we're going to get an opportunity with the bill to take bonus depreciation at the higher level than what was in force. So, yes.
Gabrial Shane Hajde: Okay. And then I guess last one, back to the nuts and bolts of what you guys do on a day-to-day basis, making boxes and keeping customers happy. We read about a large e-commerce customer potentially moving suppliers. I'm just curious if you're seeing more instances of bidding out there given sort of what appears to be a little bit of a volatile environment.
Thomas A. Hassfurther: Gabe, I would say, no. I think it's just basically kind of business as usual from the customer's point of view. But I will remind everybody that with the recent announcements in the industry relative to mills and box plants I think that supply has become very much in line with demand as it exists today.
Operator: Our next question will come from Mark Weintraub with Seaport Research Partners.
Mark Adam Weintraub: I wanted just to follow up a little bit on the Greif acquisition. I know the press release, et cetera, had talked about the run rate of that business having been $212 million during that May through April period and that you had outlined $60 million in synergy potential. Two points of clarification. One, you just raised the Dallas facility. I know that Greif had talked about that potentially making $30 million, but I don't think it was making much money in the time period which covered the $212 million. So I just wanted to clarify that and whether you think that's a reasonable type of number and whether that was included in your synergies or not? And then I guess that $212 million is sort of backward looking. Is it fair to say that given the price increases and some other variables that sort of the look forward run rate you would anticipate at this point to be higher than that. And if you kind of talk about what the key variables we should be focused on as we do that analysis, that'd be super helpful.
Thomas A. Hassfurther: Mark, this is Tom. First of all, the 212, is there upside to that? Yes. Did they capture some upside to that? Yes. So we'll be -- we're heading in better shape there. Did we build Dallas into our synergies? Yes, to some extent, quite conservatively, but we see some tremendous upside with the Dallas facility, as Mark mentioned, because it can be expanded dramatically beyond where it is right now with Greif. So does that essentially answer your question, Mark?
Mark Adam Weintraub: It does. And then I guess the last part and maybe you did sort of address it. Obviously, and we've had some price increase. I guess it wasn't quite clear when you say that they -- so they're already making, it's already making more so the benefit of the price increases are already visible and showing up, and I wasn't quite clear...
Thomas A. Hassfurther: We know what the estimates are that's all we know at this stage of the game. But the estimates were for greater than the 212. So obviously, they were still flowing through price increase after that -- after our agreement.
Mark Adam Weintraub: That's helpful. And then just lastly, I mean, one thing is when I look at last year, there was like a 4% step up in your box shipments from the second quarter to the third quarter. And so you presumably have a pretty tough comp this quarter, even tougher than the second quarter as well. And so I think you had talked about still expecting to be up year-over-year in the third quarter. So that would actually seem to suggest continued sequential pretty strong sequential improvement. And I just want to make sure I'm getting that right and the comment about improving to the third quarter wasn't just a sequential comment.
Thomas A. Hassfurther: The improvement to the third quarter was a sequential comment, but the -- and so the third quarter of '25 over third quarter of '24 will be relatively flat. I mean, it might be up just a little hair, but it's going to be relatively flat as we estimate right now. And again, as we indicated, our estimates are based on a lot of unknowns right now with the tariffs and and the global structures and things like that. So that could change quite dramatically, I think, by the end of the third quarter.
Mark Adam Weintraub: And just in terms of change, risk to the upside or downside...
Thomas A. Hassfurther: To the upside, because I think as soon as we get some certainty, to some of these issues that exist out there. And this is -- and I'm just telling you what our customers are telling us as well, is that they can try to get back to what we would consider more business as usual and have more predictability going forward. And all of that's to the upside. I think most are all operating on a very conservative nature right now.
Mark W. Kowlzan: And Mark, as I said a few minutes ago, the last few Friday, Saturday periods, we've had the best couple of Friday, Saturday periods that we've had in 4 months. You did have to go back to the March, April period. And so we've seen that significant movement just through the end-of-the-week cut-up.
Thomas A. Hassfurther: Yes. And what Mark's really talking about is having to work into Saturdays as opposed to just being off being straight 5 days a week. We're getting it to 6 days a week now.
Mark Adam Weintraub: All right. So, I mean, it sounds to me like you think maybe there's this like pent-up demand that's potentially there, but that you want to see the green lights on tariffs and then people would...
Thomas A. Hassfurther: Yes. Yes. And I think one of the things that really exist is, and you've seen it in other downturns, is when people pull in their horns and really manage their inventory incredibly tight because they can't really predict what's going to happen to their business over the long haul, those inventories change almost overnight to the upside. And then our customers can get out and start moving product forward. I mean, just think as an example, if interest rates come down and that impacts the housing market, I mean, just a building segment is going to just jump dramatically because it's down double digits in the last few years.
Operator: Our next question will come from Anojja Shah with UBS.
Anojja Aditi Shah: I wanted to clarify, you said that you expect prices in the Packaging segment to be flat in Q3 sequentially. I thought there was a little bit of the February price increase that was rolling into Q3. Is that right? And if so, are there puts and takes to that flat estimate, that flat guidance?
Thomas A. Hassfurther: There -- we're putting it in as flat right now because arguably we've got the complete pass-through done. Typically, in our fashion, we get it faster than the rest of the industry. But so we've essentially got that price increase in place. There may be a slight upside, but that's it.
Anojja Aditi Shah: Okay. Great. Thanks for clarifying. And then just going back to the e-commerce question. Can you give a sense of what the growth in e-commerce has been like so far this year? And maybe if you can, your outlook for the rest of the year?
Thomas A. Hassfurther: I can't tell you exactly what the entire e-commerce industry has done. I can tell you that our customers continue to grow, and that's a good thing. So if you indicated off of our customers, they're still growing mid-single digits so far this year. So and it's going to be really e-comm is, when you talk about this year, it's a little more difficult because e-comm is more of a second half business. And that's really kind of driving our industry to be more of a second half industry, quite frankly. So that creates, again, perhaps a little more upside to where we are right now in terms of this questionable environment. But so I can answer the e-comm question a lot easier at the end of the year than I can midyear. But so far, it's still up. And obviously, is a big part of the box business today given the way people shop.
Operator: Our next question will come from Anthony Pettinari with Citi.
Anthony James Pettinari: Wondering if it's possible -- I'm wondering if you can say where PCAs recycled mix will be before and after the Greif acquisition? And then just from a high level, the Greif's recycled capabilities open up new customer sets or were they hitting some segments of the markets where you really couldn't compete before? If there's any thoughts there.
Mark W. Kowlzan: I'll comment and then Tom can add to that. We've historically been around that 20% level, depending on time of year and price of OCC might be as low as 15%. But with Greif we'll theoretically be moving up to around that 30% level.
Thomas A. Hassfurther: Yes. And I'll just add that does it -- yes, I mean, it's not -- we've never been prevented from certain markets, but it's going to provide some better opportunities for us, especially since they've got 100% recycled mill in Massillon and we can swing that between liner and medium if we want. We can do a lot of things, and we've got a lot of plants strategically located very close by. So we'll be freight positive and fiber positive, quite frankly, out of that facility.
Mark W. Kowlzan: What Tom's saying is that our big Ashland plant is like 44 miles away from Massillon and the new plant down in Newark is like 90 miles away. So we'll be in a position just to shuttle, PCA shuttle, roll stock, in and out. So again, considerable savings right there.
Anthony James Pettinari: Okay. That's very helpful. And then just following up on Gabe's question. I mean, you have seen a number of closure announcements this year, some of them pretty large and not asking you to comment on your competitors' business, but I'm just wondering if any of these closures have allowed you to pick up some business or impacted you in other ways or if there's any maybe specific regions that are performing better than others? Just any follow-up out there.
Thomas A. Hassfurther: Difficult question to respond to, Anthony, but a good one from your standpoint. Much more difficult for me to respond to, but I would say that no. It's hard to tell at this point, quite frankly, because I think what you're looking at is as you're looking at what we've been talking about for a long time, and that is that it's a very small, limited outside market for containerboard today in the United States. And so if -- if you're focused on that, that there's little upside to that. And then, of course, you've got the export situation and what's going on globally. And if you're focused in that market, you got some real challenges as well. So I think those 2 things wrap together along with where we are in current demand, probably led to some of those decisions. And obviously, it's positive to us going forward, but that's just with the way we see it.
Operator: Our next question will come from Phil Ng with Jefferies.
Unidentified Analyst: Mark, Tom and Kent, this is John on for Phil. Really appreciate all the details. I wanted to start off just kind of going back to the volumes on a year-over-year basis. I mean, you called out box shipments were going to be about flat year-over-year. But is the containerboard production expected to be down? I know you talked about a little bit of a ramp up sequentially ahead of DeRidder. But I'm just thinking about on a year-over-year basis with some of the economic downtime that you've been taking, is that something that's going to be down year-over-year?
Mark W. Kowlzan: Well, we're probably 25,000, 30,000 tons down compared to last year. And that's primarily the export sales of containerboard that we again, under the current market situation with tariff, we choose not to participate in right now.
Unidentified Analyst: Makes sense. Okay. And then from your perspective on the demand front, are your customers done destocking? Like do you have any insights on their inventory levels? And just thinking about as we maybe get some clarity on the tariff negotiations and maybe we see some pullback in rates if that could lead to a good amount of torque coming through maybe back after this year going into next year.
Thomas A. Hassfurther: Yes, our customers are through the destocking part. As I said, they're carrying incredibly lean inventories. And going forward, if we just get some certainty in the global economy and, of course, get any kind of interest rate movements here domestically, I think things are going to open up quite dramatically.
Operator: Our next question will come from Charlie Muir-Sands with BNP Paribas.
Charlie Muir-Sands: Firstly, just on the Greif acquisition, I'm not too familiar with the assets. You've obviously disclosed the 800,000 tons of mill capacity alluded to the integration rate, but could you just clarify how much corrugated production or capacity or both the company has or what levels of integration that operation had? And then secondly, on that, obviously, it's a $1.8 billion acquisition funded from cash and borrowings. Can you just give any kind of steer on the marginal cost of that for our modeling? And then I have one follow-up question.
Kent A. Pflederer: Yes, Charlie, it's Kent. We are modeling about 5.5% interest rate on the new debt, so around $100 million incremental interest there.
Thomas A. Hassfurther: And regarding the Greif assets and the integration level, the integration level is probably in that 70%, 75% range. So as I said, there will be some available tons that we're going to need in this acquisition.
Charlie Muir-Sands: Great. And given your comments about seeing a pickup in demand and therefore, sort of extra shifts coming on late on Fridays or into Saturdays. Can you just talk about how we should think about operational leverage or deleverage on that marginal growth if you do see a demand pick up with the leverage of the fixed cost mean that it's incrementally more profitable business? Or do you end up having to pay over time. And therefore, it's -- it doesn't really sort of drop through a greater than your EBITDA margin? Just any color there.
Thomas A. Hassfurther: Well, Charlie, the only thing I'd tell you is that most of our costs are covered at some point. And so when you go beyond that point, I mean a lot of that falls directly to the bottom line because we've already covered those costs. So you might get a small incremental addition in overtime or something like that, but that's -- but that's miniscule compared to all the other costs you've already absorbed.
Mark W. Kowlzan: Anything else, Charlie?
Charlie Muir-Sands: That was it. Thank you very much.
Mark W. Kowlzan: Joe, any more questions?
Operator: Mr. Kowlzan, I see that there are no more questions. Do you have any closing comments?
Mark W. Kowlzan: third quarter. Have a nice day. Thank you very much.
Thomas A. Hassfurther: Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.